Vipul Garg: At MakeMyTrip, to our fiscal 2025 fourth quarter and full year earnings webinar. Will be hosted by the company's leadership team comprising Rajesh Magow, our Co-Founder and Group Chief Executive Officer; and Mohit Kabra, our Group Chief Financial Officer. As a reminder, this is recorded by the company and will be made available for replay on our IR website. At the end of these prepared remarks. We will also be hosting a Q&A session. Furthermore, certain statements made during today's event may be considered forward-looking statements within the meaning of safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Statements are not guarantees of future materiality. Any forward-looking information relayed during this event speaks solely as of this date and the company undertakes no obligation [Indiscernible] to obtain the information in relation to the circumstances. [Indiscernible]. Copies from the company's Investor Relations department. I would like to now turn over the Rajesh for his remarks.
Rajesh Magow : Welcome, everyone, to our fourth quarter and full year call for fiscal 2025. Fiscal 2025 has been a milestone year for us in more ways than one. We not only delivered record performance, but we also celebrated our 25th anniversary. As we mark the 25th anniversary of our company team at MMYT is filled with a deep sense of pride and gratitude. This milestone is more than a measure of time. It reflects the dedication, innovation and resilience that have defined our journey. 25 years ago, we began with a simple mission of making travel accessible, convenient and transparent for Indians. Since then, we have grown into a one-stop shop that continues to evolve and push boundaries. I would like to take this opportunity to offer huge gratitude to our long-standing industry and non-industry partners for their support over this action-packed journey. Coming to the year and quarter key highlights happy to share that we delivered a record performance during fiscal year 2025 with a robust growth rate. We recorded a gross booking value of $9.8 billion for the year with a year-on-year growth rate of 25.9% in constant currency terms. Alongside strong gross booking value growth, we continue to drive operating leverage, and as a result, the adjusted operating profit, which is at an all-time high of $167.3 million, has registered a year-on-year growth of 34.7%. For Q4, gross booking value growth accelerated to 30.4% year-on-year in constant currency terms on the back of strong travel demand, and adjusted operating profit for Q4 grew at growth rate of 37.9% year-on-year. Our high growth rate has come from the new users as well as from the existing customers. During the year, we added more than 9 million customers, taking the lifetime transacted user base to 82 million now. A lot of the new users have come from Tier 2 and Tier 3 towns, signifying our brand's penetration into deeper India. On the other hand, our repeat rate in a quarter continues to be very healthy at 70% plus rate. On our GenAI journey, we are excited to share that Myra.ai, our trip planning chatbot, has evolved into a powerful interface on a genetic framework capable of orchestrating seamless interactions across other specifically built AI bots for our products like flights, hotels, ground transport and destination discovery. With this, Myra is now a unified interface where users can plan their trip, taking the help of intelligent and personalized prompts as well as resolve post-sales queries or do amendments to the bookings, et cetera. This is part of our long-term commitment to make trip discovery and booking simpler, smarter and more enjoyable for our users using GenAI. With the increasing number of users adopting this new interface, our bots will continue to evolve and become more intelligent and intuitive. In parallel, we have rolled out several generative AI-powered features across key business lines. These include review summary for faster, more informed decision making, GenAI search that understands and responds to natural language trip queries, smart collections that create travel options based on user themes and preferences, assist mode in flights to answer common questions about baggage cancellations and refunds, AI-driven support for booking changes such as date modifications and other post-booking queries. Together, these advancements reflect our continued investment in next-genAI-led experiences that will enhance every step of the travel journey. Besides, as part of executing our connected trip strategy, we introduced multiple integrated touchpoints across our app, desktop and WhatsApp to drive seamless end-to-end planning for a particular trip. Under-penetrated international outbound market was also identified as a growth opportunity for us this fiscal year. We've been strengthening our product proposition to better serve the needs of this market, and we saw the desired results coming through. For fiscal year '25, our international air-ticketing revenue grew by over 33% year-on-year, far outpacing industry growth. Similarly, our international hotels revenue grew by over 65% year-on-year, making this one of our fastest-growing business segments. Our international business now contributes 25% to the overall revenue, up from 22% during fiscal year '24. Let me now turn to the business segments, starting with our air-ticketing business. While the airlines are trying to navigate the near-term supply challenges, particularly in the domestic air market, the good news is that domestic departures crossed the pre-pandemic levels this completed year. While supply growth in the domestic market continues to be slower than expected at about 9.5% year-on-year, international departures grew by 18.5% year-on-year and the online penetration in international air-ticketing is increasing steadily as well, which helped our gross booking value of air business grow by 24.3% year-on-year in constant currency terms in Q4 fiscal year '25. In our endeavor to keep improving customer experience, we revamped My Trips section to enhance the post-sales experience, enabling customers to easily discover and adopt digital solutions like cancellations and date changes without the need to call customer care. Since its launch, customer interactions with self-serve My Trips options have increased meaningfully and calls to customer care have reduced considerably. For our international travelers, we launched the initiative of offering bite-sized customized travel insurance plans during international flight booking to offer greater value and choice to customers. Our accommodation business, which includes hotels, homestays and packages, continues to witness strong growth. The fiscal year concluded on a strong note with positive momentum and a sense of optimism for the future. Gross booking value of the hotels and packages business grew by 27.7% year-on-year in constant currency terms for Q4 fiscal year '25. The last two quarters also delivered record performance for most of the hotel chains, reflecting robust demand. As a result, there is strong commentary around new signings across the hospitality industry. Most major players signaled an acceleration in development activity, particularly in Tier 2 cities, Tier 3 cities and Tier 4 cities. Notably, global hotel chains are also deepening their India focus by partnering with local operators to accelerate market penetration. In the last 5 years, about 42,000 plus rooms have been added by the chains, with 60% of them in Tier 2 cities and beyond. We continue to strengthen our supply mode. We now offer 89,000-plus accommodation options in 2,000-plus cities across the country. We aim to further accelerate the supply aggregation in future. During the last fiscal, we added over 120,000 rooms to our supply with Tier 2 cities and beyond, witnessing 30% plus year-on-year growth. As mentioned earlier, our international hotel segment continues to grow much faster than the market on the back of enhanced product proposition. We scaled our ratings footprint to over 600,000 plus international properties, building greater trust and aiding smarter travel decisions. We have further enhanced our content to better resonate with Indian customers, thereby increasing the Indian-ness quotient and making hotel bookings more convenient and relevant to the Indian preferences. Our homestay business continues to scale. We sold over 33,000 plus unique properties across 1,100 plus unique destinations during the year, with strong growth across business, leisure, and pilgrimage destinations. We also ramped up our homestay supply during last fiscal by adding over 42,000 plus rooms, translating to a growth of 33% year-on-year. Spiritual tourism is emerging as a significant growth driver within India's domestic travel landscape. We saw strong demand from both first and repeat travelers seeking culturally rich and spiritually meaningful experiences. Pilgrimage cities' volume growth this fiscal was over 95% year-on-year, which included windfall gains from once-in-144-years mega-Mahakumbh for Prayagraj, leading to 147% year-on-year growth in Q4. Our focused planning and strong execution around the Mahakumbh delivered an upside in January and February. We stood out as the only player with accommodation inventory during the peak period, particularly on the alternative accommodation side, and the tent offerings, which were fully bookable online, driving both visibility and conversion. We intend to continue building on this trend by expanding our offerings in key pilgrimage circuits, enhancing accessibility and creating curated travel experiences that cater to this fast-growing segment. Our holiday packages business continues to deliver robust performance driven by growth in destinations like Thailand, Singapore, and the Maldives. During the quarter, we launched our standalone tours and attractions funnel, one more additional product to follow our vision of being a one-stop shop for Indian travelers. With this new offering, travelers can now seamlessly discover and book experiences across 1,100-plus international cities spread across 139 countries, covering an extensive catalog of 215,000-plus tours and attractions, including sightseeing tours, tickets and passes, performances and shows, boat and bus tours, day trips, unique local experience, and much more. In our bus business, growth has further improved in Q4 on the back of strong demand, increasing supply, and one-time tailwinds of Kumbh. Our growth continues to be broad-based, with all regions growing in double digits, with north and east outpacing south and west in Q4. The supply in the private bus operator segment has grown approximately 15% year-on-year, reflecting a buoyant operating environment. Bus operators remain optimistic with increased interest in opening new routes, which bode well for future growth. During the quarter, we launched connecting bus services, allowing bus operators to connect to their existing services, leading to an improvement in occupancy. This also increases choice for the users, especially in longer-distance routes. With thin inventory size, they can book two buses with a reasonable layover time in between. Our international bus business also continues to grow well in all the countries, with a growing contribution to the overall pie. For our rail business, we continue to bring in new users to the platform besides growth in ancillary revenues primarily from seat guarantee product. Food on trains ecosystem is expanding rapidly, with IRCTC reporting a 200% increase in orders over the past two fiscals. We have tested the market through partnership with RELF food, which has delivered promising results with healthy conversion rates and a 99% plus fulfillment rate. We are looking to enhance the offering in future. For our cabs business, we continue to scale both airport transfers and intercity cabs. We expanded our outstation cab offerings with value-added services like route selection and local sightseeing, and source, aligning with our strategy to bridge offline and online gaps. We also introduced express pickup for airport to city cabs, a new program that tracks flights arrival time and ensures the cab is ready upon arrival. Our corporate travel business via both our platforms, that is MyBiz and Quest2Travel is witnessing strong growth as well. Our active corporate customer count on MyBiz is now over 64,000 plus compared to 56,600 customers during the same quarter last year. And for Q2T, the active customer count has reached 507 large corporates compared to 357 customers in the same quarter last year. As we look ahead, we remain focused on scaling our recently launched products while targeting higher-than-industry growth rates across all other key business segments. Our next-generation customer experience will be driven by Gen-AI-led innovations and supported by deep, scalable supply seamlessly integrated through our robust technology platforms. Before I conclude, I want to briefly address the recent developments. We had a good start to the season in April, but post the unfortunate incident at Pahalgam, a popular summer tourist destination, and subsequent escalation between India and Pakistan, resulted in a travel disruption leading to a noticeable dip in bookings, particularly in the northern region of India. This negative sentiment impacted bookings for a couple of weeks, affecting both leisure and corporate travel. Throughout this time, our endeavor has been too closely collaborate with our airline and hotel partners to offer cancellation and rebooking options for our customers. With the ceasefire now in place and the situation stabilizing, we are optimistic about recovering some of the lost momentum in the weeks ahead. We continue to monitor the broader geopolitical and macroeconomic landscape to respond with agility as per emerging situations. With this, let me now hand over the call to Mohit for the financial highlights of the quarter.
Mohit Kabra : Thanks, Rajesh, and hello everyone. We are pleased to report another strong quarter and full year performance with good top-line and bottom-line growth. During this period of reported fiscal year '25, we have delivered our best-ever financial performance across key metrics, reflecting the strength of our brands in tapping into the healthy travel demand across the country for both domestic and international travel. Keeping aside any one-off situations which have already been called out by Rajesh, the Indian travel industry continues to experience robust growth driven by the strength of the Indian economy, rising consumer confidence and increased discretionary spending on travel or experiential services. Before I move on to the quarterly results in detail, let me share some highlights for the full fiscal year. During fiscal year '25, our revenue as per IFRS is grew by 27.4% year-on-year in constant currency to $978 million from $782 million in fiscal year '24. Our last year's profit of $216.7 million included a one-time net credit of $126.1 million from recognition of deferred tax assets and a one-time gain of $30.6 million due to the change in carrying value from not entering of our 2028 convertible notes during the first put option in Feb '24. Excluding these one-time gains, profit for fiscal year '24 was about $60 million, and the profit for fiscal year '25 stood at about $95.3 million. Existing operating profit registered a strong growth of 34.7% year-on-year and reached $167.3 million in the current fiscal year compared to $124.2 million in the previous fiscal. Another highlight of the year was the growth in our international business across flights and accommodation. Our international air-ticketing business continues to grow faster than the market, gaining market share. Volume in this segment grew by over 31% compared to the taking international share in air-ticketing revenues, to 37.6% in this fiscal year compared to 34% in the previous fiscal year. We have also been increasing directly contracted international accommodation options, particularly in destinations where direct flight connectivity has been established. As a result, volumes in this segment have grown more than 45% year-on-year, and the mix of international and hotel revenues has reached 21.9% compared to 17.7% in the previous fiscal year. We continue to remain focused on operating cost efficiencies, as a result of which the existing operating profit margin for fiscal year '25 has improved to 1.71% of gross bookings compared to 1.56% in the previous fiscal. Let me now share some more details on the quarterly results. Revenue as per IFRS is grew by 25.6% year-on-year in constant currency to $245.5 million compared to $202.9 million in the same quarter last year. Our profit during the same quarter last year, adjusted for the just-explained one-offs pertaining to deferred tax and convertible notes, was about $15.2 million, and the current reported quarter profit stands at $29.2 million. Adjusted operating profit registered a growth of 37.9% year-on-year to $44.7 million compared to $32.4 million in the same quarter last year. Moving on to our segment results, our air ticketing adjusted margin stood at $94.2 million, registering a year-on-year growth of 16.8% year-on-year in constant currency. Air rates for the business were in line at 6.2%. In the domestic market, we continue to maintain our 30% plus share of the flight ticketing market. During the quarter, the mix of international air ticketing business revenue reached a high of 39% compared to 36.7% during the same quarter last year. In the hotels and packages segment, adjusted margin growth stood at 28.4% year-on-year in constant currency, resulting in adjusted margin of $109.6 million during the quarter. The take rates for the quarter were in line at 18% in this segment. In the post-ticketing business, the adjusted margin stood at $36.5 million, registering a strong year-on-year growth of over 44.3% in constant currency terms. The growth in this business, as well as the improvement in take rates for the quarter, was aided by the one-time demand uplift from Mahakumbh, as already called out by Rajesh. We ended the quarter and the full year with cash and cash equivalents of about $0.75 billion. Our capital allocation strategy remains focused on three core priorities. Firstly, continuing to invest in growth initiatives across our platform. Secondly, selectively exploring niche inorganic opportunities that can strengthen our market position or add strategic capabilities. And lastly, returning value to the shareholders through our buyback program. I'm pleased to share that we continue to make progress across our organic initiatives by investing in AI, development of the UAE business, expansion of redBus into new markets like Indonesia, and setting up operations in Vietnam and Cambodia. As part of our inorganic initiatives, during the year, we announced the acquisition of Happy Expense Management Platform from CRED to strengthen our corporate business proposition. Lastly, we have also deployed about $21.7 million in the share repurchase of buyback program. During the quarter, 233,712 ordinary shares were repurchased for an aggregate amount of $21.5 million at an average price of $92.2 dollars per share. As we celebrate the 25-year milestone, I would like to take this opportunity to thank all our stakeholders, including our customers, trade partners, associates, and our investors who have supported us throughout the journey. During the 25 years, the business has seen major macro disruptions from the dotcom burst to SARS to 9/11 or the more recent COVID pandemic, but thanks to the continued support of our stakeholders. We have not only navigated through these tough times, but always emerged stronger as a business. With that, I'd like to turn the call back to Vipul for Q&A.
Vipul Garg : Thanks, Mohit. [Operator Instructions]. The first question is from the line of Sachin Salgaonkar of Bank of America. Sachin, you may please ask your question now.
Sachin Salgaonkar: Thanks everybody. Congrats, management, on a great set of numbers. I have three questions. First question is on your selling and marketing expense. Clearly, we've seen them in the range of 4.5% to 5% for the longest time, but with every year, your scale is improving. So, on that improved higher scale, how is management thinking in terms of looking to spend? Is there a thought process to sort of perhaps keep the amount in absolute amount similar, but as a percentage of GMV, continue to reduce or continue to spend even higher as compared to previous years, despite competition being low?
Mohit Kabra: Sure, Sachin. Maybe I can take that. And like we've been calling out in the past, I think the continued strategy is to kind of keep them on a percentage basis around the 5% level. A couple of reasons for the same. One, apart from the core business segments that we report, which is air-ticketing, hotels and bus, like we've called out, we've been investing in a plethora of ancillary travel services that we've been putting on the platform. And many of these continue to be in the investment mode. Similarly, we're kind of investing behind initiatives in terms of geographic expansion that I called out. And also, in terms of investments in the alternative accommodation space, it's something which is also bearing results, as we could have seen that we are probably among the only few ones having accommodation options during the Mahakumbh event earlier this year. So, I think we believe that the overall marketing and promotional expenses currently at the kind of 5% level or just below the 5% level are pretty efficient and our focus will be more to drive better kind of mix in the business and drive faster growth than the industry rather than look at kind of curtailing the percentage of spends as such on the marketing side.
Sachin Salgaonkar: Second question, generally on the growth rate for the industry and for MakeMyTrip, clearly for last few years there has been a strong growth driven by consumer demand. Based on your comments, one gets a sense that consumer sentiment towards travel is unchanged, and we do have certain temporary near-term issues, but we also have an airside issue which continues to persist. So, in backdrop of all of it, how should we ideally look at the industry growth rate and any thoughts in terms of how could one think about a MakeMyTrip growth rate for maybe next year or a couple of years from now?
Mohit Kabra : So very broadly, Sachin, like if you see, our focus has been to drive growth in the 20s, and that remains our kind of most important strategic priority in terms of continuing to drive much faster than industry growth rate. And while it is difficult and the company does not put out a growth guidance, but we believe we'll continue to kind of look at similar growth trajectory at least in the next few years because we don't see any reason why growth should start slowing down for all the reasons that you called out and I have been calling out in the script as well. So similar kind of growth trajectory is what we would continue to target. Let's see, we do have kind of some impact from the one-offs or the kind of macro-related situations that we have seen recently, but we do believe these are temporary ones. Maybe there could be a blip in a quarter or two, but otherwise I think we'd kind of continue to keep chasing the similar kind of a growth trajectory.
Sachin Salgaonkar: Got it. And last question is on AI and clearly this entire GenAI is evolving in a very rapid manner with, I know, Rajesh touched base on agentic framework as well. The question out here is, do we see new threats in terms of competition for you guys because there are multiple other agentic AIs which sort of come in, maybe difficult to give a time frame, could be six months, could be maybe one to two years. And how is management looking at the risk of a new threat, and how the strategy of AI should sort of work, particularly from an agentic AI on travel perspective?
Rajesh Magow : Yeah, maybe I can take that, Sachin. It's a good question, obviously, because GenAI is not only the buzzword now, it's happening, right? It's real. See, firstly, Sachin, I think it will be fair to say, and which is what I was just trying to sort of cover in the commentary as well, that it's not recent. We've been actually focusing on all the GenAI-related developments for the last now several quarters, and we will continue to keep doing it. So, my view on this is that while there will be more developments happening in the market, there might be some new sort of players in the market that might emerge over time. But my view on this is that the success in this space is going to be a function of two things. One, getting the -- making the investment in the right areas and perfecting the models in a way, riding on the available LLMs, but more importantly, leveraging your own data to make sure that it is differentiated and better than anyone else who could be able to produce it. And two, it is going to be speed and agility that's going to matter. So, I think on both fronts, we feel confident. On data front, we have very rich data. And this is, all three brands put together, MakeMyTrip on data and not necessarily public internet data. And when you have -- when you leverage that and try to sort of combine it with the overall public internet data and then come up with a product and then combine the trip planning with the transaction together, which again, if there's someone who would have a better chance of doing it, should be us and we are on it, is going to ultimately make the difference. So, I'm not necessarily, of course, watching the space very carefully, but we're not necessarily sort of paranoid about somebody newcomer who might come in and be able to bring in some use case and then pose a competition. And if they come in, then we'll have to obviously deal with that sort of new competition accordingly. But the greater amount of focus from our point of view is to make sure that we are ahead in the game and we make sure that we leverage all of that what we have and put the right resources behind it to ensure that we end up giving a better differentiated consumer experience with a new user interface to our customers. And then there's going to be, by the way, adoption journey as well. So, this is going to be a long journey and this is more transformational, but it is definitely going to be journey and we stay committed and invested in this in a big way.
Sachin Salgaonkar: Just a quick follow-up. You guys have Ctrip as one of the key primary shareholders. Any learnings assistant from Ctrip from a Gen-AI perspective? Because I presume they are a bit ahead in terms of game, in terms of how AI is evolving in China?
Rajesh Magow : Well, on the models front, perhaps, yes. And you would realize, Sachin, that all of the OTAs, all the global OTAs, not only trip, but all the other global OTAs, and we watch them very, very carefully and look at all the sort of developments happening every part of the world, especially on this front. All the OTAs are actually all-consuming technologies. They're not necessarily building sort of foundational models, if you will. And on that front, frankly, if we end up doing the benchmarking exercise even today, and we keep doing it every now and then, like fairly regularly, all of us would be sort of there and thereabouts, like not necessarily I see anyone like marching or like miles ahead, because all this underneath sort of fundamental models are available to everyone. Those partnerships are available to everyone. And everyone is sort of leveraging to all those what is available in the market and trying to sort of come out and build your own model because in the travel experience use case, it is not necessarily a very simple use case of just picking up the external data and summarizing and just answer some queries with some reasonable accuracy and then get done with it. That is a very, very simple use case, and that is not necessarily going to cut the ice. I think the focus everybody is trying to do is to make the new interface which is bought far more intuitive, far more intelligent and for that, you have to do a lot of deep work leveraging some of these foundational models. So, on benchmark front, I mean we obviously will learn from not only them from the others as well as we keep seeing the development very closely and not only them, even Google, Microsoft, Meta, whoever is sort of coming up with the new models we are working with every single one very, very closely because everyone is really sort of open to work with you right now because it's an evolving space. So, but from a benchmark perspective, I don't think anyone is like miles ahead right now.
Vipul Garg : The next question is from the line of Manish Adukia of Goldman Sachs. Manish, you may please ask your question now.
Manish Adukia: Thank you, Vipul. Good evening, Team. Thank you for taking my questions. My first question is on competition. Now when you look at let's say India as a market, airline and hotel direct have not done as well as how they may have done in more developed markets. Additionally, even within OTAs, MakeMyTrip probably has one of the most dominant shares in India versus some of the other OTA markets you've seen else in the world. One or maybe two questions here. One, what in your view, Rajesh and team, explains this? And second, is this just the let's say stage of evolution of maturity where currently the structure is like it, but as the market let's say becomes more mature, more developed, we could see competition from whether it's airline direct, hotel direct, maybe even more OTAs. I just want to get your thoughts because we are right now in a very benign competition environment for quite some time now. Want to get your thoughts as to what in your view, could really change it. That would be my first question, please.
Rajesh Magow : Sure, Manish. Firstly, I would say, we have to look at it a little bit more holistically and not necessarily when we look at just competition from that lens, not necessarily only the digital sort of competition. Because the market is huge, Manish. India market is really, really huge. The overall travel and tourism market is huge, and the online penetration, barring domestic flights, is still quite underpenetrated. So, therefore, overall holistically, if you would look at it, there will be competition in this travel and tourism market for, from all the existing traditional conventional players, depending upon which segment that you talk about. You go on the packages segment, you will have tour operators, there are regional tour operators, there are sort of pan-India focused tour operators, there are consolidators in the air market for the international flights, there are traditional travel agents across the board, there are global OTAs on the online board, there are local OTAs on there. And then, like you said, there are direct bookings happening as well. Although my view on direct bookings is that, and I've said that in the past, that we never see our partners as competition because the pie is so big. It is just a question of having more sort of customer touch points from every principle standpoint for them to be able to just get the maximum sort of demand in their favor. So first, I think it is very important to understand that, yes, in the OTA space, maybe we would be the leading market player today, but when I look at the overall total market, I think there's significant head amount of headroom and for a different-different segment travel segment, we compete with different-different players. So, will it evolve over the period? Have we seen them evolving over the period over the last 25 years that we've been in business? The answer is yes. Will it further continue to keep evolving and we might see different nature of competition potentially? Maybe the answer is yes as well. I think the important point is that how do we sort of, from our point of view, how do we stay focused on executing our own strategies? How do we continue to keep evolving on our own, not only business strategy, but also execution roadmaps? How do we stay ahead pretty much across the board, given that we have taken, we are following a sort of a vision of a one-stop shop, which means multiple products and services? And from an execution standpoint, that's a, it's not easy it is challenging, but it definitely sort of presents a mode to you. Over the period, we've been able to build our brands on the back of consumer experience and some of those fundamental things, besides the consistent product and technology innovation, scale up supply, we gave the example of let's say a proactive approach on pilgrimage destination like Mahakumbh also. There are many, many things that you have to continuously and consistently do it for you to be able to stay ahead in the market and which is what our focus will be. We have been able to so far able to execute it well, the track record suggests that, but going forward, also we would make sure that we continue to sort of keep stay focused about -- keep watching the world but stay focused on what we need to do so that we stay ahead on the curve.
Manish Adukia: Thank you, Rajesh, very helpful, but would it be safe to summarize that at least from a near-term perspective, competition is not something you're losing your sleep over?
Rajesh Magow : That is something for you to say. I'm not losing sleep over competition, either now or even in the past, because competition is competition. I think we should lose sleep over what is our own business strategy and execution roadmap, that definitely one is very focused and one is very stretched on.
Manish Adukia: Thank you. Second question may be directed towards Mohit. Now I mean, when we look at let's say your margin guidance right medium term 1.8% to 2%, you're already at the lower end of that guidance and of course directionally, you are improving that number in the last let's say 12 months alone. You've added like 15-20 basis points on that number, and there is, like you've said in the past, some operating leverage in the business. So, while we understand your point on marketing spend and you're not wanting to bring that down below maybe like 5% or thereabouts, but everything else from a cost perspective should naturally derive some operating leverage. And if you keep following the same trajectory in 12 months, you'll probably be at the higher end of your guidance. So, what really stops the margin number to exceed the top end of your guidance in maybe like about two years? And would you like consciously try to keep it within the 2% band and reinvest whatever you get in growth, or is there a way we should think about it?
Mohit Kabra : I think if you really look at it this full fiscal year and it is slightly different by the quarter, but if you look at it from a full fiscal year point of view, you come in at about 1.7%. So, I think we're still a little from the lower end of the range that we've been calling out. So, I think the first variety would be to get into that range of 1.8% plus, and surely, as we kind of you know, get there and stabilize in the 1.2% range, I think we'll have enough opportunity to call out how does it kind of proceed there from.
Manish Adukia: And maybe just the last question on this buyback number, where the quarter you did about $21 million. And just like how should we think about the number, I know you've called out like a certain number, I don't know what maximum number could be of $114 million buyback, but like is the $20 million number like a new baseline number in terms of how much you can do minimum every quarter or like how should we think about what percentage of your free cash flow you can potentially start doing buyback of any color that would be helpful?
Mohit Kabra : One, if I should just call out that, that $114 million or so which is kind of left in the current plan for the buyback plan, is not necessarily a constraint. So, it's just because we haven't still utilized the plan that was created quite some many years back. That plan has still not been fully exhausted, and therefore, we have not added to the plan. So, that isn't really a constraint. We could kind of add more to the plan, and if you're able to see more buybacks coming through. What we've called out is our strategy will continue to be opportunistic buybacks. So, and if we are really looking at it, I think there's a lot of volatility in the markets and therefore, we do want to ideally be opportunistic and time the buybacks so as to be able to into such programs whenever the market is under pressure and that is what we've kind of done. If you look at it last quarter also, there was significant volatility in the markets, and therefore our buyback program yielded good results, and we'll continue to kind of take that approach. So, would we end up kind of deploying a higher number or a lower number? I think the appetite is there to deploy a much higher number, but let's see how the markets kind pan out and we'll kind of keep taking stock at it on a quarterly basis.
Vipul Garg : The next question is from the line of Vijit Jain of Citi. Vijit, you may please ask your question now.
Vijit Jain: Thanks, Vipul, and congratulations to all of you on the 25th anniversary. My first question is, so Airbnb launched a significant product upgrade yesterday, right? Significant expansion into experiences. I think they said 19 categories, 1,000 cities and agentic AI plans, et cetera. So, I would like to maybe get your thoughts on experiences as a category for your business. I know at some point of time in the past, I think you believed it was a bit early for this in India, but any incremental thoughts on that would be great to know.
Rajesh Magow : Sure, Vijit. No, that's a good observation, and we went through that as well. Vijit, a quick update on tours and experiences is that, and we've been talking about it for the last couple of quarters, we've actually gone live already with that. We just need to sort of scale it up to the complete traffic, expose it to the complete 100% traffic slowly and gradually. It's getting wrapped up already. And I've called that out also as part of the script, and there was one pair dedicated to that in the coverage and the kind of experiences that are going to be there on our platform, and the number of cities, et cetera. So, we will have a very, very wide and broad coverage as well. And this is right now focused on predominantly international destinations, but we will also continue to keep ramping up even the domestic sort of experiences, where the APIs would be available and offer that to our customers as well. So, we also do believe that this is going to be an additional sort of high-potential service from this market as well, given that there is a lot of growth that is happening on the international travel off late. I mean, you all know that the recovery post-COVID was led by domestic market. After that, after the lag effect, international is now growing very handsomely as well. And this added service will definitely be a good sort of, we definitely see good potential in it. But from consumer point of view, it will also be on MakeMyTrip, one more service that they will also get.
Vijit Jain: Got it. Thanks, Rajesh. Rajesh, building on top of that, so in general, looking at the kind of inorganic opportunities you might pursue. I'm wondering if there are two areas that I can probably think of where it would probably make sense. One is in this experience’s category, where I don't know if there's anything like a Klook or those kinds of services similar to those kinds of services that you could probably look to acquire, your thoughts on that. And the second avenue is as you look at GenAI, and you talked about leveraging your own data and everything. Is there anything on the travel media or travel content side, which probably makes sense for you from an acquisition point of view? So, really questions around whether within experiences or within media as specific areas where you're interested in.
Rajesh Magow : Listen, like I said, we've just embarked on the organic journey to build. We've just built a platform. We already have those services. We have the supply on our platform already. And our strategy is going to be billed as much as possible direct supply already. And we already have a lot of traffic on our platform. So, frankly, given that we already have the traffic, we are just going to add more service. We have so much of international traffic on already on our platform. And we have already built a platform as well as scaled up the supply. So, we will sort of go down this path on organically scale this up. On M&A, as Mohit was highlighting, our strategy, as you would have noticed from the past track record as well, has been on looking at just the niche segments and seeing if there is any going to be a potential option in the ancillary segments, which could be accretive or adding any sort of product expansion capabilities like Happay was a good example of that, will continue to be that. And here, in any case, we've started our journey organically. And on the -- on even the content side on the media or content, so we are, there are plenty of sort of even the marketing side, the tools, et cetera, available even for our content strategy. There are many tools that are available that we are already started to leverage to, whether we do various sort of digital campaigns or for our own platform content strategy, the videos and the potentially there are plans around coming up with the rich video content, reels, et cetera, leveraging all these GenAI tools that are available. So, I'm not sure there is an again an inorganic opportunity there because a lot of it is just accessible and available, and we just need to sort of build on that. So, having said that, we keep watching the space. I mean, there's always a way there is if there's an opportunity, which makes sense when falls into our overall inorganic expansion criteria, we would be very happy as always to evaluate, but so far, I think we have not really seen that as an opportunity.
Vijit Jain: Rajesh, in my last question, any one-off costs associated with the developments in the last two weeks in North India that you called out?
Rajesh Magow : Not really, not really. I think the last couple of weeks has only kind of seen a dip in the overall kind of travel sentiment, and therefore travel overall has been impacted, but no, nothing that we have called out as a one-off or exceptional cost.
Vipul Garg : The next question is from the line of Manik Taneja of Axis Capital. Manik, you may please ask your question now.
Manik Taneja : Thank you, for the opportunity. I hope I am audible, and while my questions around possible operating levels essentially are already answered, I had a couple of clarification questions. One is with regards to how much of the growth on the bus side in the current quarter could be driven by the change in the recognition policy? That's question number one. And then a couple of data-keeping questions in terms of how should we be thinking about our ESOP expenses as well as tax rates going forward. That would be it from my end.
Mohit Kabra : As far as the bus ticketing segment is concerned, the impact from the change in accounting treatment, which is on book basis versus travelled, isn't material. And therefore, we haven't kind of, called it out, and there is no comparable in the previous year. But it's not a material one. We are very small. Like I had called out, a larger kind of impact came in on account of the one-off changes or one-off kind of growth that we saw coming in from the Mahakumbh on the bus ticketing side. So, it's more exceptional. I think by the -- from next quarter onwards, we should hopefully see once again more steady state, stable kind of margins over there. If you could just repeat the next two questions, please?
Manik Taneja : The two more bookkeeping questions in terms of you could help us understand how should we be thinking about your ESOP charges as well as tax rates going forward?
Mohit Kabra : Yeah. On ESOPs, our kind of thought is that we would largely want to keep it in the existing range of about $35 to $40 million an annum. This is the range that it has been in for the last many, many years. And despite all the growth or kind of improvement in the market cap, as a philosophy, we want to kind of largely remain within this range on an absolute number of basis. So, that will be the answer to the ESOP-based question. And on effective tax rates, I mean, we've created a deferred tax asset, and that gives you a fairly good view on the deferred tax assets that are sitting on the books. And we'll continue to enjoy that benefit for at least another year. And more like kind of get into full tax rates from the year thereafter. So, FY' 26 also should see us getting some benefits of the carried forward losses that we have. And next year onwards, then we kind of largely see getting us into the full tax bracket.
Vipul Garg : The next question is from the line of Ankur Rudra of JPMorgan. Ankur, you may please ask your question now.
Ankur Rudra : Thank you. I just want to take a step back and talk a bit about demand in the current quarter. Before the conflict began, what have been the early indications of the 1Q bookings? The broader economic environment has been somewhat soft on the consumption side. I was wondering if you've seen any evidence of that before the recent conflict?
Rajesh Magow : So, maybe I can take that. I think the first month or the beginning of the quarter was pretty normal, we would say, and therefore, nothing exceptional to call out largely in line with how we've been kind of looking at growth over the last few quarters. Of course, the last three weeks have been impacted by what's kind of happening. But other than that, I think the year began on a reasonably normal note.
Ankur Rudra : Thank you, and the impact on travel sentiment? has it been almost equal on both the international outgoing and on the domestic side?
Mohit Kabra : Pretty much.
Rajesh Magow : Yeah, absolutely. Especially for post the escalation or the tension that started, that has been an overall sentiment. But the good news is we started to see recovery right after the ceasefire was announced. So, the last two, three days, we are already seeing it sort of coming back.
Ankur Rudra : Thank you. Just one more question. I think you address a lot of how you're thinking about AI, but I had a question asked in a different way. One of the differentiators for MakeMyTrip has been the accessible contact center that you have versus competition, especially versus international competition? In that context, how are you thinking about using AI to manage costs without losing that differentiation you have and maintaining customer experience?
Rajesh Magow : Yeah, good question, Ankur. And I was covering that as part of my earlier response under the customer experience because that has been one of the very, very important focus areas for us. And like you called out, perhaps differentiated from the market as well. And we will not dilute that by any stretch of imagination. We are obviously leveraging the technology to the as much as possible. And there our focus is, without compromising the customer experience, if you sort of either do the automation or change from one channel, you move the customer from one channel to the other channel. In fact, our internal goal always is to better that experience. So, this journey for us now, before GenAI, this self-service automated journey started much, much earlier. In fact, right after COVID, the middle of COVID, because that was one of the areas that we ended up focusing and we had resources, and we doubled down on that. And our experience on our MyTrip self-service, even without the GenAI intervention, has been very, very good, very well received. We measure our CSAT, we measure our NPS on that. And we continue to keep improving that experience because the device is already there. Everybody is familiar with the device. If we end up sort of providing the experience, which is better than a call center experience, because sometimes call center experience also has to go through IVR, and the flow can be literally irritating. Even if at the end of the day, we end up sort of doing with all the service level and the promise there, we definitely end up providing a better experience on self-service as well. So, we will continue to be with that focus, improve the experience. And then in the process, if we get the productivity gains, that would be our strategy.
Vipul Garg : We are almost out of time. This was our last question. Over to you, Rajesh, for your closing remarks.
Rajesh Magow : Well, thank you, Vipul, and thank you, everyone, for your time and for all the questions. And like we said, yes, there were recent developments, but thankfully, after the ceasefire, we seem to be on our way from consumer sentiment standpoint, and hopefully looking forward to the normal CISO and the normal quarter. Thank you so much.
Vipul Garg : Thank you, Rajesh. Everyone, thank you for joining. You may now disconnect the call. Thank you.